Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Greetings and welcome to the StepStone Fiscal Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. 00:34 It is now my pleasure to introduce your host, Seth Weiss, Head of Investor Relations. Thank you, sir. You may begin.
Seth Weiss: 00:40 Thank you and good afternoon, everyone. Joining me on the call today are Scott Hart, Chief Executive Officer; Jason Ment, President and Co-Chief Operating Officer; Mike McCabe, Head of Strategy; and Johnny Randel, Chief Financial Officer. During our prepared remarks, we will be referring to a presentation which is available on our Investor Relations website at shareholders.stepstonegroup.com. 01:07 Before we begin, I'd like to remind everyone that this conference call as well as the presentation contains certain forward-looking statements regarding the company's expected operating and financial performance for future periods. Forward-looking statements reflect management's current plans, estimates and expectations are inherently uncertain and are subject to various risks, uncertainties and assumptions. 01:31 Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks, or other factors that are described in the risk factors section of Stepstone’s most recent 10-K. 01:45 Turning to our financial results on Slide 3 for the third quarter of fiscal 2022. We reported GAAP net income of $126.3 million for the quarter ended December 31, 2021. GAAP net income attributable to Stepstone Group Incorporated was $48.3 million. We generated fee related earnings of $36.8 million, adjusted net income of $48.6 million and adjusted net income per share of $0.42. 02:18 The quarter reflected retroactive fees resulting from the final closing of Stepstone’s Tactical Growth Fund III and additional closings of our private equity co-investment fund that contributed $1.2 million to revenue and $1.1 million to fee related earnings and pre-tax adjusted net income. There were no material retroactive fees in the prior year's quarter. 02:42 I now like to turn the call over to StepStone’s Chief Executive Officer, Scott Hart.
Scott Hart: 02:48 Thank you, Seth and good afternoon, everyone. We delivered our strongest quarter to date on both an absolute and per share basis. We reported record results for fee-related earnings and adjusted net income, while growing our total assets under advisement and management to nearly $550 billion. Our private market solutions continue to demonstrate their value and what has been a turbulent period for public markets, marked by recent volatility in stock prices, a more inflationary environment and a rising interest rate outlook. 03:18 Our breadth and scale across all four of the private market asset classes provides the full spectrum of tools to allow our clients to thrive in every environment. We construct balance and customized portfolios that deliver attractive results to our clients, including consistent alpha generation from private equity, exposure to growth and the innovation economy through venture capital, income and yield enhancement from private debt, and natural inflation protection embedded in real estate and infrastructure. 03:48 Furthermore, our business model is primed for steady growth in durable operating results that can withstand the peaks and valleys of cyclical economic patterns. We have deliberately invested in asset classes, strategies and geographies that are benefiting from secular tailwinds with the long-term nature of our client relationships and the diversity of our asset class and geographic footprint provides stability to our fee related earnings. 04:12 Turning to our results on Slide 5. We generated $48.6 million in adjusted net income for the quarter or $0.42 per share, up 50% from the prior fiscal year's third quarter on a per share basis. We generated fee related earnings of $36.8 million of 65% from the prior year quarter as we produced strong organic growth and benefited from the Greenspring acquisition. Accounting for the increase in our share count, we grew fee related earnings per share by 41%. This was our first full quarter with Greenspring. The integration process is progressing well and early results are coming in ahead of expectations. The impact to our clients has been seamless, and we are seeing positive interest from both legacy StepStone and Greenspring LPs and exploring the added breadth of StepStone solutions. 05:02 We produced another strong quarter of asset growth finishing the quarter with $127 billion of assets under management and $71 billion of fee earning AUM. Excluding acquired assets, we have organically grown fee earning AUM by 28% over the last 12 months with balanced growth across both asset class and structure. 05:21 I'll now turn the call over to Mike McCabe to speak about our asset growth and fee related revenue growth in more detail.
Mike McCabe: 05:28 Great. Thanks, Scott. Now turning to Slide 7, we generated nearly $16 billion of gross AUM inflows in the last 12 months with about $4 billion coming from our commingled funds and roughly $12 billion in separately managed accounts./ 05:44 Slide 8 shows our fee earning AUM by structure and asset class. For the quarter, we grew fee earning assets by $4.5 billion with balanced growth across commercial solutions. Commingled funds contributed about $2 billion driven primarily by interim closings of our private equity co-investment fund and our venture secondary fund. Commingled funds will continue to be a significant part of our growth engine as the addition of the Greenspring platform expands our menu of fund offerings in the highly sought after but access constrained venture capital and growth equity sectors. 06:21 We've included additional details on our fund families in the appendix of our earnings presentation as a new disclosure. Separately managed accounts contributed the remaining $2.7 billion of this quarter's fee earning asset growth driven by a combination of re-ups and new client wins as well as the successful deployment of fee-paying capital across asset classes and strategies. As Scott mentioned, the breadth of our diversified offerings as a significant competitive advantage, which was particularly evident this quarter across real assets. 06:52 Real estate and infrastructure offer portfolio diversification, income and inflation protection and are seeing the benefit from increased client demand. We expect the positive backdrop for real assets specifically and multi-asset class solutions more broadly to continue for the foreseeable future. Looking over the last 12 months and excluding the impact from acquisitions, we have organically grown fee earning assets by over $13 billion, or by 28%. While this is clearly an exceptional period of growth, it is consistent with the organic CAGR of 30% over the last four years. Being able to maintain our growth rate in fee earning AUM, while at the same time monetizing investments for our clients is a point of pride for the entire organization. 07:42 We continue to grow our evergreen products C-prime, our private markets fund for our accredited investors. As of February 1, we have grown C-prime to $390 million in net asset value, a strong ramp up since introducing the product less than a year and a half ago and we are making progress across all distribution channels. 08:04 Our undeployed fee earning capital stands at over $17 billion. This is down slightly quarter-over-quarter, given the strong deployment across asset classes, but remains near our all-time peak and provides visibility into growth driven by capital that has already been committed. Our undeployed balance also gives us considerable dry powder to tactically capitalized on market dislocations. 08:28 Slide 9 shows the evolution of our management and advisory fees where we are generating greater than $3.30 per share in revenues over the last 12 months. Representing a CAGAR of 25% since fiscal year 2018. We generated our blended management fee rate of 52 basis points, which is stable compared to the last three years. 08:51 Now, before turning the call over to Johnny. I'd like to take a moment to speak about expenses and long-term operating leverage. We remain disciplined in managing our spending, while also steadily investing for growth. This approach has served us very well over our 15-year history and we will continue to prioritize growth in what we view as a multi-decade opportunity for expansion within the private markets. 09:16 Examples of just a few areas in which we have invested include the build-out of deep and experienced real estate, infrastructure, private debt and venture capital teams to complement our original private equity capabilities. A broad geographic footprint with investment professionals operating in local markets where we invest and serve. The creation of a nearly 30 person dedicated retail team, and the development of proprietary technology that enables our clients and investment teams to optimize their investment decisions by accessing private market data to user friendly SaaS-based software. 09:53 We pride ourselves on a technology stack that is state-of-the-art. While many incumbent financial services peers are spending significant sums of money to update their systems, we have built an infrastructure that is modern, efficient and flexible creating a strong foundation that will serve both our company and our clients well into the future. 10:14 Recognizing the durability and scalability of our platform, we remain committed to investing in our platform well ahead of growth. While this may result in a trade-off with margins in the near term each of these areas is scalable and creates an environment for operating leverage over the longer term. 10:29 And I'd now like to turn the call over to our CFO, Johnny Randel.
Johnny Randel: 10:35 Thank you, Mike. I'd like to turn your attention to Slide 11 to touch on a few of our financial highlights. We are reporting strong organic top line and bottom line growth and we benefited from a full quarter of the Greenspring acquisition. We generated record results for management and advisory fees, adjusted revenues, fee related earnings, adjusted net income and ANI per share. 10:59 Our FRE margin for the quarter was 35%, up 300 basis points year-over-year. We benefited from retroactive fees in the quarter, which contributed 70 basis points to the FRE margin. We also benefited from variations related to year-end bonus accruals that favorably impacted this quarter's compensation expense and margin. 11:18 As Mike mentioned, we see a significant pathway for continued growth and we will invest appropriately to pursue that growth. For the near term, that likely means increases in compensation expense as we grow the team and fill open positions. Additionally, we expect a higher level of T&E as we move through the coming year. 11:36 G&A expense trending higher still remains at levels below what we would consider normal. We continue to view near term FRE margin of about 30% as a reasonable expectation with some variability quarter-to-quarter based on the timing of expenses and the cadence of large commingled fund closings. 11:54 Over the long term, we continue to expect our margins to migrate to the mid '30s as we balanced profitability with sustainable growth. Gross realized performance fees were $66.6 million for the quarter, our highest period ever, reflecting a continued elevated level of realization activity driven by a positive market environment for exits and strong underlying investment performance. 12:18 Slide 24 in the appendix provides quarterly and last 12-month performance fee trends. Slide 12 illustrates our continued strong growth rates across all key revenue measures. We have grown overall adjusted revenue per share by 64% in the first three quarters of the fiscal year and by 30% compounded annual growth rate over the longer term. The revenue growth is driven by consistent growth in fee earning assets and has been bolstered by the recent period, a very strong realized performance fees. 12:47 Shifting to our profitability on Slide 13. We have grown fiscal year-to-date fee related earnings per share by 17%. As a reminder, we earned an unusually high level of retroactive fees in fiscal 2021. So our fiscal 2022 year-to-date growth comes against a high comparison. Looking over the longer term, we have achieved a CAGAR of 48% in fee related earnings per share since our fiscal 2018 period. We have grown our adjusted net income per share by 98% for the year-to-date period and by 46% over the longer term, reflecting both continued increases in FRE and a period of strong realized net performance fees. 13:27 Moving to the balance sheet on Slide 14, gross accrued carry continues to increase driven by strong underlying investment performance and in the quarter at over $1.3 billion. This is up 11% from the prior quarter and up 112% over the last 12 months, despite a high level of realizations. 13:47 On the bottom chart, our own investment portfolio ended the quarter at $99 million of 9% from the prior quarter and a 56% over the same quarter in the prior year, reflecting both market appreciation and net contributions. Unfunded commitments to these programs were $73 million as of quarter end. We manage a large pool of over $51 billion or performance fee eligible capital, this capital is widely diversified across multiple vintage years and approximately 150 programs as of December 31. 58% of our unrealized carry was tied to programs with vintages of 2016 or earlier, which means that these programs are largely out of their investment periods and have entered harvest mode. 61% of this unrealized carry is sourced from vehicles with deal-by-deal waterfall and realized carry maybe payable at the time of investment exit. 14:38 Lastly, a quick note on our leverage. We have $65 million outstanding on our revolver after reducing the balance by $50 million over the course of the quarter. We view this as a relatively small amount of debt considering our earnings and cash generation. Line of credit gives us flexibility on top of our significant normal cash flow to support growth initiatives, including future GP commitments. We anticipate maintaining a modest level of debt going forward and would expect some variability in outstanding balance period to period. 15:07 This concludes our prepared remarks. I'll now turn it back over to the operator to open the line for any questions.
Operator: 15:14 Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Ken Worthington with JPMorgan. Please proceed with your question.
Ken Worthington: 15:49 Hi. Good afternoon. And I guess Happy New Year, if we can still say that. For Scott and Mike, as we start the new calendar year, I was hoping you could reflect on management's top goals for growing the business in calendar 2022 and to the extent that you're focusing more resources in one element or aspect of the business versus another. What are you most excited about for StepStone when thinking about the growth outlook ahead?
Scott Hart: 16:20 Sure. Thanks. Thanks, Ken. For the question and a belated Happy New Year to you as well there. I think, look, as we look ahead to ‘22 and fiscal ‘23 for us, look to some extent it is business as usual. And I think if I think back to the first six quarters out of the gate that we've had as a public company. One of the things, I think really highlights the strength and the diversity of the platforms that each quarter it's been a different part of the business driving our outperformance. 16:49 Starting initially with the final closing of our real estate commingled fund followed by a couple of quarters of strength specifically in the private equity and private debt asset classes, more recently if you look at the last couple of quarters real strength from the infrastructure side of the business, both in terms of re-up activity on the separate account side as well as deployment. And finally, private equity commingled funds and so there is a variety of different factors driving our growth and success. And I think we've really set up a platform to capitalize on continued growth opportunities that lie ahead of us. 17:29 As we look ahead to the New Year here clearly to focus on commingled funds will continue to be quite important. You would have seen in our new disclosure and outline of some of our historic commingled funds as well as those that are in market between our private equity co-investment private equity secondaries and a number of venture funds associated with the Greenspring acquisition and so that is clearly a high priority in the year ahead. Re-ups will and continue to be a high priority for us and have a number of vehicles that as investment activity has picked up over the last 12 months have been pulled closer to those rehab decisions and so that will clearly be a high priority as we look to continue growing with our existing client base. And finally, no surprise that the retail opportunity continues to be one that we are quite, quite focused on.
Ken Worthington: 18:31 Okay. Great. Thank you for that. And then just maybe a bit more on Greenspring now that you've been sort of an owner of the business and have probably a better field and you did when you were buying it. How are you progressing and thinking about their growing their offering in the coming year?
Scott Hart: 18:57 Sure. No, I mean, I think you're exactly get to know the team even better than you could possibly throughout the due diligence process, and we've been spending a tremendous amount of time with the Greenspring team, myself included, having just come back from Baltimore with the team there. Look, I think things are going well and some of that is anecdotal in terms of what we're hearing from the team and really some of what we anticipated would be the case during diligence now playing out real time and whether that is gaining access to investment opportunities or due diligence insights that would not have been possible previously been now as part of a combined market leading platform are things that we are seeing day in and day out. 19:52 And part of that is driven by specific data points. And there are only limited number of data points so far here a few months in but with the venture focused secondaries fund recently surpassing $2 billion as performing well and ahead of our expectations and the timeline around some of the other funds in market I think similarly, outperforming from a timing standpoint here. 20:12 So look, I think it really is just trying to make sure that we are capitalizing on the combined strength of the platform here continuing to listen to our clients and what the needs of those clients might be as we think about what products or vehicles may be of interest to them going forward.
Ken Worthington: 20:31 Okay. Great. Thank you very much.
Operator: 20:37 Thank you. Our next question comes from Alex Folstein with Goldman Sachs. Please proceed with your question.
Alex Folstein: 20:44 Hey. Good afternoon, guys. Thanks for taking the question as well. First question, maybe a little bit more industry focused given the benefit you have looking and speaking with so many LPs around the world. I heard your comments loud and clear about appetite for real assets obviously given the inflationary outlook. What about private equity and given just a significant amount of deployment, the industry has seen over the last couple of years relative to maybe a slower pace of realizations. How are people think about tactically allocated to private equity as an asset class over the next 12 months to 18 months?
Scott Hart: 21:23 Sure, I will -- Alex, I'll start, others may want to jump in here as well. Look, I think one of the biggest challenge is that we're hearing about from LP that they think about allocating the private equity market is really just the pace at which managers have been returning to market and so when you talk about trying to tactically allocate to the asset class. The reality is many LPs, have had their plates full just working through a real pipeline with their existing managers and so it's really been a focus on how do we selectively re-up with those managers, while also freeing up capital to allocate to other parts of the market. I think we are continuing to see no surprise, a tremendous amount of interest in the venture and growth space clearly secondaries have had tremendously active year in 2021, we expect some of that to continue into 2022 here as well, but again it's really working through those real pipelines, given all the activity. 22:23 The only other thing I would add is that given the recent volatility in the market, I think the one concern that has been on people's mind for extended period of time has just been around valuations. But as we think about the amount of dry powder available or new communities that are being made. I think many hope that with the recent decline in the public markets actually may create buying opportunities over time. We would expect that takes some time is buyer and seller expectations need to come back into line here, but I'm looking at this as an opportunity.
Alex Folstein: 22:56 Got it. Great. Helpful. And then a follow-up question Johnny probably for you around FRE margin so 30% near term FRE margin obviously. meaningfully, lower versus what you guys done recently, but understanding the pace of investment et cetera. How should we think about this over the next several quarters, right, is 30% the right number for kind of calendar 2022 and that's more of an investment year and beyond ‘22 we should resume sort of a positive margin expansion trajectory or this could be a multi-year spend. And then just a clarification, within that 30%, are you assuming any retro fees or retro fees would obviously help that 30% number?
Johnny Randel: 23:42 Yeah. Thanks. Thanks for the question. I think, we think of vector fees as sort of helping it. So we're kind of focusing on the core, the core operations part of it and I think, the timing of when we might be a little bit above, a little bit below, kind of be driven more by those kind of episodic fund closings and the timing of when we bring on some of the positions or some of the people are finding to bring on to target some of that growth. So, we kind of think about it as kind of around 30 is a reasonable kind of expectation for the next few quarters. And then if fundraising on some of our commingled funds come earlier then you'll see a lift on that, but I think the timing is, what's the challenge. And then I think as we get kind of into the next round of fundraising on commingled funds is where we would think some of that expansion would come
Alex Folstein: 24:31 Great. All right. Thanks very much.
Operator: 24:37 Thank you. Our next question comes from Michael Cyprys with Morgan Stanley. Please proceed with your question.
Michael Cyprys: 24:42 Hey. Good afternoon. Thanks for taking the question. Scott wanted to come back to some of your comments earlier around investing in the platform for growth. Could you just maybe expand a little bit on how much are you planning to expand headcount by over the next 12 months. What are the top areas across the firm where you're adding headcount and some of the top initiatives you could just maybe expand a bit on that, there?
Scott Hart: 25:08 Sure. Look, I think Mike talked a little bit about where we've been investing during the prepared remarks. And again, to my earlier comment, some of it is just continued business as usual as we continue to grow the asset class teams as we can continue to expand our geographic footprint, you've heard us say in past quarters, that to some extent are seeing sort of the asset classes evolve in similar ways to what we've seen in the private equity market whether that's the development of a -- of a more active secondaries market in asset classes like infrastructure or as we look to expand some of the sourcing and deployment opportunities in private debt outside of areas like traditional direct lending. We will continue to add to each of our asset class teams. I think more specifically, you heard us referenced 30 person retail team clearly continues to be a continued area for growth in head count. And look, frankly, continue to build out areas like our human resources team is no secret that it's been a competitive market for talent. We are very focused on being able to continue to not only attract, but retain and develop our talent over time. And so we've made a number of important additions to our human resources team in recent months.
Michael Cyprys: 26:32 Great. And just maybe a follow-up question, if I could, on the retail C-prime product clearly some very exceptional investment performance there. Can you just talk about some of the steps that you're taking to accelerate flows into the product? I think you mentioned a 30 person distribution team. Where do you see the size of that team and 12 months to 24 months, maybe talk a little bit about the platforms, how many are on today. How many more platforms do you expect to add? What's that progress like from a distribution standout and build?
Jason Ment: 27:04 Thanks, Mike. Jason here. We are proved on over 100 platforms now between RAs, IVDs and some of the international platforms and a lot more are in diligence, a number of preparing to launch in the coming days and weeks including really great progress in some of the US wires. The growth in the team size, I think you'll see some continued growth as we [Technical Difficulty], Mike, I'm sorry, I think we went on mute there for a second inadvertently. So I'll just start over here, we’re proved on over 100 platforms today across RAs, IVDs and a couple of international platforms, a number of other platforms are preparing to launch and a number behind that are in diligence for later this year. So continued progress with additional wires sorry additional RAs IVDs and then wires as well. In terms of the headcount growth, we're going to be adding additional folks here in the U.S. as we continue to build out our U.S. map, but also starting to pivot towards non-U.S. team build on the sales force there.
Michael Cyprys: 28:34 Great. Thank you.
Operator: 28:36 Thank you. Our final question comes from Adam Beatty with UBS. Please proceed with your question.
Adam Beatty: 28:46 Hi. Good afternoon. Thank you for taking the question. Firstly on the management fee rate. I noticed that there's a bit of a mix shift toward a higher percentage of commingled funds. I’m assuming some of that has to do with Greenspring and year-to-date, it looks like your fee rate is fairly flat around 52 basis point, I'm assuming the offset there was some of those catch-up fees as Johnny was talking about in fiscal ‘21. So maybe check my understanding on that, but maybe more importantly, looking ahead given that shift toward comingled should we expect some fee rate accretion from here? Thank you.
Scott Hart: 29:30 And maybe I'll start there./ Adam, this is Scott. And then, Johnny can jump in on the specific [Technical Difficulty] typically with the addition of the Greenspring platform, which was much more heavily weighted towards commingled funds. You will see a bit of mix shift that's starting to play out with one full quarter and in the books here, but we'll continue to work its way through the numbers going forward here. So, as a reminder, given that mix of commingled the Greenspring platform had a higher overall fee rate than our 52 basis points, but within commingled funds recall that they have strategies including primary, secondaries and co-investments or directs whereas historically StepStone commingled products were really much more weighted towards higher fee co-invest and secondary in particular. And so, yes, we will continue to see a shift towards commingled fund that ought to help the overall blended rate slightly, but you may have also seen a slightly lower commingled fee rate for this quarter. But with that Johnny anything else that you would add specific to Adam's question.
Johnny Randel: 30:41 Yeah. All right. I think when you is -- when you do look at that fiscal ‘21 period there was some elevation in there from those retro fees and I think just as we kind of see the portfolio grow, we don't anticipate it moving much from where it is but can move quarter-to-quarter based on the timing of when new business comes on.
Adam Beatty: 31:00 Great. Thank you for those nuances appreciate that guys. And then just I wanted to get your thoughts around kind of the environment that you're seeing right now, specifically the GP manners (ph) you guys deal with and partner with an invest with. We've had the pandemic some dislocation there, some point to sort of consolidation of accounts among LPs want to deal with kind of fewer providers and now we've got some market dislocation and rate hikes on the horizon. Are there -- are you seeing any signs of kind of disturbance in the GP communities that you deal with certain things that you're watching out for doing maybe a little bit additional due diligence? Any color there would be helpful. Thank you.
Scott Hart: 31:50 Yeah. No, I mean I don't think any specific disturbance in the GP community again if anything that I think one of the biggest trends we've seen, Adam, is just again the pace at which managers have been coming back-to-market, it's clearly been a very active period of time from a new investment standpoint at 2021 record year across a number of different areas, and so it's resulted in just a rapid user pace of fundraising, but we may be seeing some shifts in where exactly the interest of LPs lie. And then you again we referenced real assets during the prepared remarks as investors do get, we are ready for a rising interest rate environment looking -- and looking for inflation protection. I think we are seeing some shifts in exactly where efforts are being focus within each of the asset classes. But again no overall disturbance in terms of GP relationships again even the trend towards more consolidated relationships like we would tell you that we continue to approved even just in our private equity business, well over 100 new fund commitments per year. So there's just a tremendous amount of a number of managers in the market, specializing in a variety of different areas. And frankly that's one of the areas that our clients look to us to help them navigate.
Adam Beatty: 33:16 Great. That's positive. Thank you, Scott.
Operator: 33:19 Thank you. Our next question comes from Michael Cyprys with Morgan Stanley.
Michael Cyprys: 33:26 Hey. Thanks for taking the follow-up. Just wanted to ask about the dividend, so you guys more than doubled the dividend, I guess just how do you think about what the right level of the dividend should be for StepStone? How you think about selling that as dividend ratio or percentage of FRE, or should that be growing with the fee related earnings over time. Just any sort of thoughts around that? And just as cash flow builds are we getting closer to the timeframe where you might be able to buy in a bit more ownership of the subs?
Mike McCabe: 33:58 Hi, Mike. This is Mike McCabe and thanks for the question. So I think we are going to continue to look to our peer set for the payout ratio and we'll continue to pay our ratio to be in line with our peer set in the industry. So I think you can continue to see us looking at the dividend as an opportunity to add value back to our shareholders over time as we increase our cash flows as to sort of capital allocation, we used $50 million this quarter to pay down debt as Johnny mentioned in the revolver, we left a balance of about $65 million. So the goal here is to keep a flexible balance sheet and flexible capital structure to be opportunistic. And as it relates to the integration of the subs and buying it at the NCI, we're in regular dialog with each team on this topic of integration and at the moment, there is nothing to report, but I think longer term, as we've discussed in the past, but we see a fully integrated company between may see some incremental steps in that direction. But at the moment, there is nothing to report, but we are, we're very pleased with the balance sheet, it's flexibility in our ability to work opportunistically as and when opportunities arise.
Michael Cyprys: 35:11 Great. If I could just squeeze one last one in here just on M&A, clearly just executing the Greenspring transaction. I guess as you kind of look ahead over the next 12 months to 24 months. Do you see the possibility for another transaction, where might M&A help fill some product or distribution gaps and access some opportunities that you see?
Mike McCabe: 35:32 Yeah. Thanks. As evidenced by the successful acquisition and integration of Greenspring. We do see M&A as an opportunistic way to accelerate our growth by augmenting something we're currently doing whether it's related to an asset class or something like distribution or perhaps a strategic location. But the key to success here is a cultural fit and the value proposition for our clients, but certainly we've demonstrated a track record and certainly capability to attract very interesting, very accretive additions to our platform and will continue to be on the lookout for such opportunities.
Michael Cyprys: 36:09 Great. Thank you.
Operator: 36:15 Thank you. There are no further questions at this time, I would like to turn the floor back over to Scott Hart for any closing comments.
Scott Hart: 36:20 Great. Well, as always, we appreciate your time and your interest in the StepStone story and we look forward to continue to update you on it as we move ahead. Thank you.
Operator: 36:33 This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.